Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to SuRo Capital's Third Quarter 2021 Earnings Conference Call. [Operator Instructions]. This call is being recorded today, Wednesday, November 3, 2021. I will now turn the conference over to today's speaker, Jackson Stone of SuRo Capital. Please go ahead, sir.
Jackson Stone: Thank you for joining us on today's call. I'm joined today by the Chairman and Chief Executive Officer of SuRo Capital, Mark Klein; and Chief Financial Officer, Allison Green. Please note that a slide presentation corresponding to today's prepared remarks by management is available on our website at www.surocap.com under Investor Relations, events and presentations. Today's call is being recorded and broadcast live on our website, www.surocap.com. Replay information is included in our press release issued today. This call is the property of SuRo Capital and the unauthorized reproduction of this call in any form is strictly prohibited. I would also wish to call your attention to customary disclosures in today's earnings call -- in today's earnings press release regarding forward-looking information. Statements made in today's conference call and webcast may constitute forward-looking statements, which relate to future events or future performance or financial condition. These statements are not guarantees of our future performance or future financial condition or results and involve a number of risks, estimates and uncertainties, including the impact of COVID-19 pandemic and any market volatility that may be detrimental to our business, our portfolio companies, our industries and the global economy that could cause actual results to differ materially from the plans, intentions and expectations reflected in or suggested by the forward-looking statements. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including, but not limited to, those described from time to time in the company's filings with the SEC. Management does not undertake to update such forward-looking statements unless required to do so by law. To obtain copies of SuRo Capital's latest SEC filings, please visit our website at www.surocap.com or the SEC's website at sec.gov. Now I would like to turn the call over to Mark Klein.
Mark Klein: Thank you, Jackson. Good afternoon, and thank you for joining us. We are pleased to share the results of SuRo Capital's third quarter 2021. This has been one of the most exciting quarters to date for our firm, including notable exits and exciting investment opportunities in multiple different verticals. This quarter, 3 additional portfolio companies announced their intentions to become publicly traded through a SPAC merger, making a total of 5 SPAC merger announcements in 2021. In addition to the SPAC mergers, 3 of our portfolio companies announced intentions to be acquired and 2 had completed acquisitions as of quarter end. As we make notable exits, we are excited to deploy capital in compelling new high-growth opportunities and have added 7 new companies to our portfolio in this quarter alone. I'm excited to share more details on these events before handing the call over to Allison Green for a brief financial overview. At the conclusion of our remarks, we will open the call for questions. Let's start with Slide 3. This quarter, SuRo Capital again reached our highest dividend adjusted net asset value per share since inception, surpassing the records we set in both Q2 of 2021 and Q1 of 2021. At the end of the quarter, SuRo Capital had a net asset value of approximately $426 million or $14.79 per share, which was near the top of the anticipated range that we posted in our prerelease. The $14.79 per share net asset value is inclusive of a $2.25 per share dividend declared and paid during the quarter. This net asset value per share represents a $0.48 increase from the $14.31 dividend adjusted net asset value at the end of the second quarter. Consistent with our desire to be shareholder-friendly and our continued practice of distributing realized gains on, November 2, 2021, SuRo Capital's Board of Directors declared a $2 per share dividend to shareholders and approved an extension of the share repurchase program to October 31, 2022. This dividend will be payable on December 30, 2021, to shareholders of record on November 17, 2021. Our Board is again offering shareholders the option to elect to take as much as 100% of their dividend in stock and has capped the aggregate cash dividend to 50% of the total dividend payable. This brings the aggregate dividends declared or paid in 2021 to $7.25 per share. Later in the call, Allison will walk through in detail the election process of this cash and stock dividend. Depending on the portfolio activity for the remainder of the year, the Board will evaluate declaring an additional dividend payable in January of 2022. Please turn to Slide 4 for a review of our top 5 positions. SuRo Capital's top 5 positions as of September 30 were Course Hero, Coursera, Forge, Nextdoor and Blink Health. These positions accounted for approximately 54% of the investment portfolio at fair value. Additionally, as of September 30, our top 10 positions accounted for approximately 73% of our portfolio. First, I want to highlight our investment in Course Hero, now our largest position. Over the last year, Course Hero has focused on growing their platforms community and pursuing acquisitions that expand their already comprehensive catalog of student study materials. This initiative began in October 2020 with their acquisition of Symbolab, a platform that helps students solve complex mathematical equations and continued in June 2021 with their acquisition of LitCharts, a platform that helps make learning literature more accessible. Since then, Course Hero has grown their offerings by acquiring QuillBot, an AI writing tool that helps people reconstruct the writing to be more concise and CliffsNotes, a library of literature study guides. Before the [indiscernible] acquisitions, TechCrunch estimated Course Hero would hit between 2 million and 3 million paid subscribers in 2021, up from 1 million subscribers last year. We believe these acquisitions will further bolster paid subscriptions and support Course Hero's goal of becoming the leading comprehensive platform for study materials. As previously discussed, on March 31, our second largest position, Coursera, executed an initial public offering and began trading on the New York Stock Exchange. Coursera priced at $33 per share at the top of their range. In the third quarter alone, sales of our public shares of Coursera had generated nearly $33 million of net proceeds and approximately $28.5 million in realized gains. To date, monetization of our position in Coursera has generated nearly $112 million in net proceeds and over $96.3 million in realized gains. We have sold substantially all of our Coursera investment. We anticipate selling the de minimis remainder of our Coursera position in the coming days. In addition to Course Hero and Coursera, we have also seen strong performance from our overall portfolio. During the third quarter, 3 portfolio companies announced pending SPAC mergers, one company completed a SPAC merger, 2 companies announced or completed an IPO and 2 companies were acquired. During the third quarter, Forge Aspiration and Nextdoor announced plans to merge with SPACs. On September 13, Forge announced a plan to merge with Motive Capital, a fintech-focused SPAC at a combined equity value of up to $2 billion. Earlier this year, Forge was valued at $700 million post money, making this deal their unicorn debut. This pending transaction resulted in a $10.5 million write-up or over a 100% increase in our valuation of Forge compared to last quarter. The Forge Motive Capital SPAC merger is expected to close in the fourth quarter of 2021 or as late as the first quarter of 2022 and result in gross proceeds of $532.5 million for the combined company. Between January 1, 2018, and June 30, 2021, Forge has seen a 225% increase in its customer base and 114% increase in distinctive private companies traded, with nearly 400,000 registered users and 123,000 investors. Forge has driven over $10 billion in volume across 19,000 transactions. We are excited by Forge's success over the years and look forward to the successful conclusion of their business combination. On August 18, Aspiration also announced a plan to merge with InterPrivate III financial partners, a fintech-focused SPAC at an equity value of $2.3 billion. Aspiration raised $200 million pipe associated with this transaction. The pending transaction is expected to close in the fourth quarter of 2021 or as late as the first quarter of 2022. Aspiration offers a range of sustainable banking services, credit cards and investment products and boasts more than 5 million participating members. As of June 2021, the company had a revenue run rate in excess of $100 million and saw a 7x growth since the past year. We are excited by this milestone for Aspiration and believe they have emerged as a leader of ESG-focused fintech. Finally, on July 6, Nextdoor announced plan to merge with Khosla Ventures Acquisition II at an equity value of $4.3 billion. Nextdoor raised $270 million pipe associated with this transaction. Yesterday, stockholders approved the transaction. The merger is expected to close on November 5, with the combined entity trading on the New York Stock Exchange under the symbol KIND, beginning November 8. In addition to the SPAC mergers announced this quarter, we saw one portfolio complete their merger and become publicly traded. As previously discussed, on February 11, SuRo Capital portfolio company Rover announced plans to merge with Nebula Caravel Acquisition Corp., a SPAC sponsored by True Wind Capital. Stockholders approved the business combination and the transaction was closed on July 30. The combined entity now trades on the NASDAQ under the ticker Symbol ROVR. The transaction valued the company at an enterprise value of $1.35 billion and provided approximately $240 million in gross proceeds to the company. Our shares of the public common stock of Rover are currently subject to certain lockup provisions, we anticipate they will expire during the first quarter of 2022. We are excited about this transaction and congratulate Rover on the successful close of their SPAC merger. In addition to SPAC mergers, we saw one company announced and another company execute their initial public offering this quarter. On August 20, NewLake Capital Partners completed an IPO and began trading under the symbol NLCP on the OTCQX. The IPO raised $102 million at a share price of $26 a share. As of September 30, SuRo Capital shares of NewLake are not subject to any lockup restrictions. We will liquidate this position consistent with prior practices as market conditions allow. On October 4, Rent the Runway announced that it filed for an IPO at a range of $18 to $21 per share. On October 27, they priced their IPO at $21 per share and began trading on the NASDAQ under the symbol RENT at a price of $23 a share. The IPO was led by Goldman Sachs, Morgan Stanley and Barclays and it elevated the value of Rent the Runway to $1.5 billion. We expect our shares of Rent the Runway to become freely tradable in early Q2 of 2022 when the lockup expires. In addition to these major milestones, 2 of our portfolio companies were acquired during the third quarter. On August 30, 2021, Udemy, a recently minted public learning and online teaching platform announced that it acquired CorpU for an undisclosed amount. On September 2, Kahoot, a publicly traded global education technology company announced that it acquired Clever. As previously mentioned in our prerelease, in late September, reports from multiple sources allege significant improprieties by Ozy Media. Given these serious allegations, as of September 30, we valued our investment in Ozy Media at 0. The many successful portfolio company transactions completed in third quarter and anticipated to be completed in the near future have provided significant cash flows to fund high growth, well scrutinized and promising new investments. During the third quarter, we judiciously added 7 new portfolio companies. On August 9, we invested $10 million in Orchard Technologies Series D preferred shares. Orchard is a vertically integrated property technology company competing in the trade-in and cash offers market. Orchard's Move First product allows homeowners the ability to buy their home before selling their old home while still unlocking the equity they have built up in their existing home. In the current real estate climate, it is more important than ever to have as few contingencies attached with offers as possible and Orchard is a market leader, removing these barriers for homebuyers. Orchard plans to expand to 4 new markets in 2022 as well as launch new services to offer millions more buyers a better way to purchase their dream home. Over the past year, Orchard has doubled their footprint, launched Orchard Insurance and introduced Concierge, a service that repairs and updates homes on the behalf of homeowners before sale and no upfront cost. In September, Orchard announced it has raised $100 million at a valuation of over $1 billion in a round led by Accomplice with participation with existing investors as well. We have evaluated several business models in the property technology sector and believe Orchard's model solves many of the pain points for consumers with a more capital-efficient and less risky model than iBuyers and other similar companies in the space. As such, we believe Orchard is uniquely poised to grow and achieve success in both bull and bear housing markets compared to many of its peers in the proptech sector. Please turn to Slide 8. During the third quarter, we also made a $10 million investment in the common shares of Varo Money, Inc. Varo is a nationally chartered bank, developing a branchless, digitally native financial platform to improve the mobile banking experience. Varo offers various services, including financial insights and analysis of spending, real-time budgeting and forecast of cash flow, direct deposits, online bill payment and other financial applications. Varo's target market is the 180 million American Varo views is underserved and overcharged by traditional financial institutions. Varo believes that traditional banks are unable to profitably serve this massive segment of consumers who have modest or no savings. Due to their legacy cost structure, Varo believes traditional banks must charge fees to avoid losing money on these particular clients, meaning customers with the least money pay the most in fee relative to their assets or their income. Varo has no monthly account minimum balance, no debit card replacement fees, no foreign transaction fees, no AC bank transfer fees and no ATM fees on Varo ATM. In addition, unlike other neobanks who use a sponsor bank model by partnering with smaller banks to offer banking services, as a nationally chartered bank, Varo operate at a lower cost structure than other neobanks and can pass along these savings to consumers. In September, Varo announced that it raised $510 million of Series D equity round at a $2.5 billion valuation. This is according to TechCrunch. SuRo invested $10 million in the Series D round, which was led by Lone Pine Capital with participation from investors, Warburg Pincus, TPG, Rise Fund, Gallatin Point Capital and others, including new investors, Declaration Partners and BlackRock. Please turn to Slide 9. As previously discussed, SuRo Capital Sports is a $10 million wholly owned subsidiary of SuRo Capital created to take advantage of the significant tailwind this quarter. Since inception, in March '21, SuRo Capital has been creating a robust pipeline, B2B and B2C players across several key verticals, including affiliates, compliance technology, fan engagement and differentiated partners operator. In addition to our initial investment in BettorView, since June 30, we made 2 additional investments in SuRo Capital Sports. The first is PickUp, which allows publishers to embed prop like predictions within their content. Users create profiles, allowing them to track the accuracy of their pick and earn prizes from sports books and other affiliates. The gamification of content represents a new era of fan engagement, where the experience is now centered around the fan versus the previous iteration of fan engagement centered around shares, likes and common social media. During the third quarter, we invested in PickUp's series Seed-2 2 preferred shares as part of the round led by KB Partners and drive by drafting. The second investment, Compliable, provides a compliant software solution that makes managing, maintaining and completing gaming licenses across multiple states and jurisdictions easy. Compliable software platform and tools provide customers with both significant time and cost savings, allowing operators to focus on entering new markets and establishing a presence in the growing sports betting landscape. As the complexity of licensing with the real gaming market continues, we believe Compliable will be an essential part of how operators, vendors and regulators maintain compliance with a constantly changing and varied regulatory environment. And in October we invested in Compliable series Seed-D Board preferred shares as part of their seed extension, led by Bettor Capital. Looking ahead, we believe our portfolio is well positioned as ever to drive long-term value through both exits and ongoing strategic investments in compelling industries and opportunities, not readily available to public investors. We believe our healthy cash balance puts us in a strong position to deploy against this high-volume of attractive opportunities. Thank you for your attention. And with that, I will hand it over to Allison.
Allison Green: Thank you, Mark. I would like to follow Mark's update with a more detailed review of our third quarter investment activity and financial results as of September 30, 2021, including recently declared dividends and our current liquidity position. First, I will review our investment activity. Please turn to Slide 10. During the quarter, we invested a total of $31.4 million in new and follow on investments. New investments during the third quarter include a $10 million investment in the Series D preferred shares of Orchard Technologies, a $10 million investment in common shares of Varo Money, an additional $7.4 million in funded capital calls to complete our $10 million commitment to Architect capital PayJoy SPV, a $2.5 million investment in the preferred shares PayJoy, Inc. and approximately $700,000 investment of a total $2 million limited partner commitment in True Global Ventures 4 Plus investment funds and approximately $500,000 investment in the Series Seed-2 preferred shares of YouBet Technology doing businesses as PickUp and a $250,000 investment in the share units of AltC Sponsor LLC, the sponsor vehicle for AltC Acquisition Corp. 2021 investments through September 30 totaled approximately $70.1 million. Please turn to Slide 11. This slide highlights our exits made and proceeds received during the third quarter. Most notably, during the third quarter, we sold 837,181 of our Coursera common shares for approximately $32.8 million of net proceeds resulting in a net realized gain of approximately $28.6 million. These sales during the third quarter are in addition to the exit of 25% of our original Coursera position at the time of IPO for net proceeds of $30.7 million and a net realized gain of approximately $26.9 million made during the second quarter. I will review our Coursera sales subsequent to quarter end and to date on the next slide. On August 30, 2021, Udemy, a recently publicly traded global education technology company announced it would acquire CUX, Inc. or CorpU. As a result of the acquisition, we received approximately $6 million for a net realized gain of approximately $2 million, inclusive of approximately $315,000 held in escrow. On September 2, Kahoot, ASA, another publicly traded global education technology company announced it would acquire Clever. Kahoot acquired Clever for cash, stocks and other consideration contingent on various earn-out provisions. As a result of the acquisition, we received approximately $3 million in cash proceeds and shares of Kahoot, resulting in a current net realized gain of approximately $1 million, inclusive of approximately $744,000 held in escrow. Anticipated additional consideration subject to earn-out provisions and other contingencies has not been included here. Additionally, during the quarter, we received approximately $343,000 in proceeds from Second Avenue related to the principal repayment and interest on the 15% term loan due December 2023. Finally, during the third quarter, we realized approximately $295,000 related to our June 2020 investment in Palantir Lending Trust SPV. These additional proceeds are attributed directly to the equity participation in the underlying collateral. As of today, 512,290 shares of Palantir common stock comprising the underlying collateral to which we retain an equity interest remains to be sold. As of December 31, 2020, the balance of the loan and all guaranteed interest had been fully repaid. 2021 realizations through September 30 resulted in approximately $199.6 million in net proceeds and $171.7 million in net realized gains or $172.3 million, including adjustments to amounts currently held in escrow. Please turn to Slide 12. Subsequent to quarter end, SuRo Capital via SuRo Capital Sports made a $1 million equity investment in the Series Seed-4 preferred shares of Rebric, Inc., which is doing business as Compliable. This is the third investment SuRo Capital Sports has made since inception in early 2021. In 2021 to date, we have invested a total of $71.7 million in new and follow on investments. We have also made additional realizations subsequent to quarter end. As previously alluded to, through yesterday, we sold an additional 1,409,090 of our Coursera common shares for approximately $48.5 million of net proceeds, resulting in a net realized gain of approximately $40.8 million. We anticipate monetization of the remaining 100,000 Coursera shares to be completed prior to the filing of our Form 10-Q for the quarter ended September 30, 2021, in the next few days. Through yesterday's sales, we have received a total of nearly $112 million in net proceeds, resulting in net realized gains of over $96.3 million from our Coursera position. Additionally, we began monetization of our public common shares of Skillsoft. Subsequent to quarter end through yesterday, we sold 18,157 Skillsoft common shares for approximately $229,000 of net proceeds, resulting in a net realized gain of approximately $48,000. We plan to monetize the remaining 981,843 Skillsoft shares, consistent with our prior practices as the market allows. Finally, subsequent to quarter end, we received approximately $111,000 in proceeds from Second Avenue related to the principal repayment and interest on the 15% term loan due December 2023. In 2021 to date, we have received a total of approximately $248.4 million in net proceeds, resulting in over $212 million in net realized gains. Please turn to Slide 13. Segmented by 6 general investment themes, the top allocation of our investment portfolio at quarter end is to education technology, representing approximately 46% of the investment portfolio at fair value. Financial technology and services was the second largest category, representing approximately 25% of the portfolio. The marketplaces category accounted for approximately 18% of our investment portfolio and approximately 6% of our portfolio is invested in social and mobile companies. Big data cloud accounted for approximately 4% of the fair value of our portfolio and sustainability accounted for less than 1% of the fair value of our portfolio as of September 30. Please turn to Slide 15. We are pleased to report we ended the third quarter of 2021 with an NAV per share of $14.79. A breakdown of NAV per share at the quarter end is shown on Slide 15 and is consistent with our financial reporting. Most notably, the decrease in NAV per share during the quarter was largely driven by approximately $2.25 per share attributable to dividends declared and paid during the quarter and $0.07 per share attributable to the issuance of common stock from the stock dividend. Also contributing to the decrease were an $0.08 per share decrease related to net investment loss and a $0.52 per share decrease attributable to the change in unrealized appreciation of investments. However, this net decrease is substantially related to the realization of investment during the quarter and offset in net realized gains. These decreases to NAV per share were partially offset by a $1.13 per share increase attributable to net realized gains on investments and a $0.02 per share increase attributable to stock-based compensation. I would also like to take a moment to review SuRo Capital's current liquidity. We ended the quarter with approximately $180.8 million of liquid assets, including $108.2 million in cash, $72.6 million in unrestricted public securities. This does not include approximately $9.4 million in public securities subject to certain lockup provisions as of quarter end. Our cash balance of $108.2 million as of September 30 consisted primarily of the monetization of various portfolio positions throughout 2020 and 2021 to date. The $72.6 million of unrestricted public securities held as of September 30, represent our shares in Coursera, NewLake Capital Partners and Skillsoft valued as of September 30, 2021, closing prices of $31.65, $29.41 and $11.69, respectively. The $9.4 million of public securities subject to certain lockup provisions held as of September 30, represent our restricted public shares in Rover and Kahoot valued as of September 30, 2021, closing prices of $13.59 and $7.08, respectively, plus a discount for lack of marketability related to the lockup provision. On October 27, 2021, the company's Board of Directors approved an extension of the share repurchase program until the earlier of October 31, 2022, or the repurchase of $40 million in aggregate amount of the company's common stock. Since its inception in August 2017, 4,823,332 shares have been repurchased for approximately $30.4 million, not including the Q4 2019 tender offer under the share repurchase program. Under the share repurchase program, the company may repurchase its outstanding common stock in the open market, provided that it complies with the prohibitions under its insider trading policies and procedures and the applicable provisions of the Investment Company Act of 1940 as amended, and the Securities Exchange Act of 1934, as amended. As of September 30, there were 28,781,016 shares of the company's common stock outstanding. In addition to the 2 dividends of $0.25 per share each declared in the first quarter and the $2.50 per share dividend declared and subsequently paid during the second quarter. On August 3, SuRo Capital's Board of Directors declared a $2.25 per share dividend to be paid in half stock and half cash on September 30 to shareholders of record as of August 18. As a result of the election, the total dividend paid to all stockholders consisted of approximately $30 million in cash and approximately $2.3 million in shares of common stock. Through September 30, SuRo Capital has declared and paid its dividends attributable to 2021 in the amount of approximately $131.3 million. All 2021 dividends declared to date are expected to be categorized as net long-term capital gains for tax purposes. The related realized gains are attributable to the monetization upon sale or exit of the investments in our portfolio. As Mark mentioned, on November 2, SuRo Capital's Board of Directors declared a dividend of $2 per share payable on December 30, 2021, to the company's common stockholders of record as of the close of business on November 17, 2021. The aggregate dividend will be paid in half stock and half cash. However, the portion of cash received by individual shareholders making a cash election could be greater than 50%. Shareholders electing or deemed to have elected to receive the dividend in stock will receive 100% of the dividend in shares of SuRo Capital, not including de minimis cash paid in lieu for fractional shares. As described more fully in today's press release, the dividend will be paid in cash or shares of the company's common stock at the election of registered shareholders, although the total amount of cash to be distributed to all shareholders will be limited to no more than 50% of the total dividend to be paid in aggregate. Shareholders electing cash may receive a cash allocation greater than 50%, depending on the results of all shareholder elections. This dividend is being made in accordance with certain applicable treasury regulations and guidance issued by the IRS that allow a publicly traded regulated investment company to satisfy their distribution requirements from a distribution paid partly and common stock provided certain other requirements are satisfied. We strongly encourage all shareholders to proactively reach out to the bank, broker nominee or platform through which they hold their SuRo Capital shares to make their desired election outcome known. Only registered shareholders will be directly mailed an election form by our transfer agent, American Stock Transfer. SuRo Capital does not process any elections. Most shareholders are not registered shareholders and must proactively make their election known through the bank, broker nominee or platform on which they hold SuRo Capital shares. Each registered shareholder will have the opportunity to elect to receive the dividend in cash or shares of the company's common stock. Registered shareholders electing to receive the dividend in shares of the company's common stock will receive their entire dividend in the form of shares for the company's common stock regardless of the elections made by any other shareholders. However, the total amount of cash to be distributed to all shareholders electing to receive their dividends in cash, will be limited to no more than 50% of the total amount to be distributed to all shareholders. In the event, the amount of cash to be distributed to all shareholders electing to receive the dividends in cash would exceed 50% of the total dividend, each registered shareholder electing to receive cash will receive a pro rata portion of the total cash to be distributed based on the number of shares held by each such shareholder. The remainder of the dividend in excess of the shareholders' pro rata share of the total amount of cash to be distributed will be paid in the form of shares of the company's common stock. The number of shares of our common stock to be issued to shareholders receiving all or a portion of the dividend in shares of our common stock, will be based on the volume weighted average price per share of our common stock on the NASDAQ capital market on November 10, 11 and 12, 2021, plus $2 to reflect the declared dividend. The company will cause to be mailed an election form to receive cash or common stock only to registered shareholders promptly after the November 17, 2021, record date. Registered shareholders are those shareholders who own their stock directly and not through a bank, broker or nominee. The completed election form must be received by SuRo Capital Corp.'s transfer agent American Stock Transfer prior to 5:00 p.m. Eastern Time on December 17, 2021. Registered shareholders with questions regarding the dividend may call American Stock Transfer at 800-937-5449. Registered shareholders who do not make an election will be deemed to have elected to receive 100% of their dividend in shares of the company's common stock. Registered shareholders participating in the company's dividend reinvestment plan will also receive an election form. The investment feature of the dividend reinvestment plan will be suspended for this distribution and will be reinstated after this distribution has been completed. Shareholders who hold their shares through a bank broker or nominee will not receive an election form from the company and should contact their bank, broker or nominee for instructions on how to make an election. Shareholders who hold their shares through a bank, broker or nominee are encouraged to contact their bank, broker or nominee and inform them of the elections that should be made on the shareholders' behalf. If a shareholder's bank, broker or nominee on the shareholders' behalf does not timely return a properly completed election form by the election deadline, the shareholder will have been deemed to have elected to receive 100% of the dividend in the form of shares of our common stock. Regardless of whether a shareholder receives the dividend in cash, stock or some combination of cash and stock, the entire amount of this dividend will be fully taxable to shareholders and SuRo Capital Corp. will report the actual tax characteristics of each year's dividends annually to shareholders and the IRS on Form 1099-B. The date of declaration and amount of any dividend, including any future dividends are subject to the sole discretion of SuRo Capital's Board of Directors. The aggregate amount of dividends declared and paid by SuRo Capital will be fully taxable to stockholders. The tax character of SuRo Capital's dividend cannot be finally determined until the close of SuRo Capital's taxable year. SuRo Capital will report the actual tax characteristics of each year's dividends annually to stockholders and the IRS on form 1099-B subsequent to year-end. Registered stockholders with questions regarding declared dividend may call American Stock Transfer at 800-937-5449. Shareholders who hold their shares through a bank, broker or nominee are encouraged to contact their bank, broker or nominee for additional details on how their bank, broker or nominee will process the election on their behalf. Shareholders can find additional information regarding this dividend in the Investor Relations section of SuRo Capital's website at www.surocap.com. Year-to-date, SuRo Capital has declared approximately $7.25 per share to shareholders for total approximate distributions of nearly $188.9 million. As Mark noted, the Board of Directors will assess declaring additional dividends depending on the investment activity for the remainder of the year. That concludes my comments. We would like to thank you for your interest and support of SuRo Capital. Now I will turn the call over to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions]. And we'll take our first question from [indiscernible] Ventures.
Unidentified Analyst: My first question is with respect to the current vibes in the market, which are pertaining to the SPACs and the volatility. How do you plan to manage certain blocking periods? And then there's a follow-up to that. I'm asking this because a certain percentage of the portfolio is associated with SPACs and then there's a locking associated with that.
Mark Klein: Unfortunately, I don't think I followed the first -- the second part of your question. But in respect to the first part of your question, any SPAC that is subject to lockup is either -- is subject to lockup and those lockups are laid out quite clearly and highly restrictive. And of course, we abide exactly by the lockups that are put forward.
Operator: And next we'll move on to [indiscernible] Financial Services.
Unidentified Analyst: Could you tell me what the exact loss or proceed loss at this moment of the Ozy Media investment wise?
Mark Klein: On Ozy Media. It's somewhere slightly north of $11 million.
Operator: And that does conclude our question-and-answer session today. I would like to turn the conference back over to the speakers for any additional or closing remarks.
Mark Klein: Well, we at SuRo thank all of you for taking the time for this conference call, for taking -- and for supporting us as shareholders. As always, we're available for any other follow-up, you can contact us directly through our IR portal. Thank you all very much, and appreciate the time you spent with us today.
Operator: Thank you. And that does conclude today's teleconference. We do appreciate your participation. You may now disconnect.